Matt Barrie: Okay, we might as well get going. Hello and welcome to the Freelancer Limited First Quarter of 2025 Business Update. My name is Matt Barrie. I'm the Chief Executive of Freelancer Limited. Today with me on the call, we have Neil Katz, the Chief Financial Officer; Adam Byrnes, who is the VP of Product from Freelancer; Andrew Bateman, who is the Head of Enterprise Product from Freelancer; August Piao, who runs Escrow.com. And as always, you may direct questions to either myself or any of the management team in the Q&A. Getting, going forward into the results. So in the first quarter of 2025, the group GMV was $231 million, which was up 1.7% on pcp. Freelancer was $33.4 million, up 6% on PCP. Escrow was $197.6 million, up 1% on pcp in GMV. On the revenue front, we were at $14.1 million, which is up 11.7%. The Freelancer revenue was $10.7 million, up 8% on pcp. And the Escrow revenue was $2.9 million, up 34.5% on pcp. We achieved positive operating profit in the first quarter of 2025. And in fact, it's the ninth consecutive month of operating profit. About a year ago, I said my objective was to put an underlying base operating profitability into the business. My target is about $0.5 million a month, every month consistently. Since July of last year, every single month, we've achieved positive operating profit. And we're about two-thirds the way to the progress of my target. So we're doing about $1 million of operating profit every quarter, so we've had our ninth consecutive month of operating profit, which is good to see. And I think we'll provide it with a base under the financials of the company. We achieved operating cash flow of $3.5 million, up 1 million -- up from $1 million in the pcp. We also achieved overall cash flow of $2.2 million, up from breakeven in the pcp. And cash and cash equivalents grew again in the quarter, to $25.4 million, up 9.6% on December '24. So which -- in the first quarter of 2025 -- moving on to Freelancer. We've continuous double-digit growth in customer acquisitions. So this is cash physically coming in from new customers in the first 28 days -- to 21% year-on-year, which is flowing through the funnel, as we're seeing, into positive GMV. And this will continue, I think, across the course of the rest of the year. We've got a continued focus on -- strategic focus on AI, which is lifting liquidity and the quality of the marketplace; and driving some of those numbers; and also improving conversion in the user experience. And we're seeing some good lifts every time we integrate AI into the funnel and to the flow. We've also growing a brand-new vertical in AI. And I'll show you in a second that it's lifting quite strongly as we become basically the place to get AI development done in the third wave of business transformation, thanks to the Internet and -- web development, app development, AI development. And I think we're well positioned for the rest of the year with positive operating cash flow of $2.2 million; and cash reserves of $25.4 million, which was also growing strongly again this quarter. So at Freelancer Limited, we have three companies in the group, for those potential new shareholders that are new to the call and new to the story. We have -- we're in the fields of labor, payments and freight. We have over 80 million people now, which is the largest online crowdsourcing marketplace in the world by number of users by some way, in Freelancer. With Escrow, we're the world's largest online escrow company facilitating and securing large-value payments. And Loadshift is an Australian-only business at this point in time, but we will be expanding that globally, in the field of heavy haulage freight. And so we meet the needs of -- from consumers, small businesses, mid-sized businesses and large enterprises through those three businesses in labor, payments and freight. Focusing on Freelancer. I mentioned before that GMV was up 6% in the quarter, up on year-on-year, $33.4 million. And the revenue was $10.7 million, up 8% on pcp. And the growth, as I mentioned in the last quarter, has been primarily due to improved customer acquisition performance over the past year. And I'll show you a graph in a second what that looks like. We added 1.72 million new users in the quarter, and 182,000 new projects in the marketplace. The average project size continues to grow. It's now at USD 343, up 35.9% on pcp. And it has been growing really for the last couple of years, as you can see in the graph below. Liquidity turned -- also continues to be very, very, very strong. I would actually challenge anyone to find a labor marketplace on the Internet that's actually got stronger liquidity. We have -- now at 50 bids on average on projects, which is up 28.2% on pcp, very, very strong on the supply side of labor. And the contest section continues to astound. We now have over 500 entries per contest. It's about 536 entries, which is up 68.6% on pcp. And one of the drivers of this is due to the Freelancer's adopting AI tooling, which has not just enabled us to go from the widest range of talent at the lowest price -- because it's on demand and you only tap into the talent as you need it. And a lot of the talent comes from emerging markets, but thanks to AI, the value of the skills in the marketplace have lifted dramatically, which means we are the widest range, lowest price and in some circumstances now also the highest quality, which is pretty fantastic. And that's also translated to liquidity effects, as we've seen here, in contest, with a very jump in the number of contest entries that are coming in. And we're currently around -- last time I checked, something around 68,000 entries per day into contest. So that's -- that product is very, very, very strong in the supply side. You can see here in Figure 1 the average project size really since 2020. This number has been taking off in terms of the complexity and the sophistication of the jobs that get done on Freelancer. It's a very deflationary marketplace in that you get a lot of value for money here. So typically you get about 10x what you spend, equivalent, in labor from freelancers, as opposed to what you would pay for a Western service provider in the Five Eyes markets like the U.S., U.K., Canada, Australia, et cetera and so on. One of the standout things in the Freelancer core marketplace is a big turnaround from where we were coming out of COVID, in client acquisition. So this is physical cash coming into the bank accounts from new clients in the first 28 days. We're currently at about 21% year-on-year on pcp in the quarter, off the back of a strong year last year. In fact, it's about 15 months now track record of continuing on the client acquisition front. You can see there is a bit of oscillation due to holiday periods and so forth, but it's not one thing that has contributed to the success. It's a constant grind through the user experience, the core funnel, the product improvements and a lot of the AI enhancements we put in the marketplace. These numbers, I think, will continue to grow over the course of the year. And that's flowing through now into actual numbers throughout the rest of the funnel. So this is on the input side of the Freelancer core marketplace, so this is basically all users -- new users coming into the marketplace, physical cash flow in 28 days. This is flowing through to gross marketplace volume, which is the cash paid out to freelancers from that work. This top graph here is for new users, what we call rookie clients. And you can see that, over the course of a -- the last two years, that we've gone from a contraction that -- coming out of COVID, now to quite solid and growing growth in terms of the physical cash that's being paid to freelancers from new clients. You can see there it's swung from about negative 10% to plus 20%. So it's a 30% absolute swing from end to end, and you can see that trend is continuing. I think it's been one of the standout performances. Now that's obviously for new clients. For all clients in the marketplace, we're seeing the same thing flow through. We came out of a contraction coming out of COVID, where you have very pronounced effects as you had the -- sort of that macro withdrawal. Coming into COVID, you had new clients coming in and new friends coming into the marketplace, but when -- coming out of COVID, everybody wanted to go see their friends and go travel and so forth, so you had very strong contraction. We've turned that around. So you can see at it’s most negative in late 2023 or early 2024. It was about negative 17% year-on-year. And that's now swung through to a positive number here, which is about -- in the last 28 days, about 3.2%, but in the last quarter, it was about -- I think, about 6% year-on-year. A new category that's -- that I think is going to be a very, very large category for the business. That's -- you can see here, is growing strongly. We reported on this last quarter, where the numbers had doubled. And it continues to grow in terms of the volume -- is AI development. I think the third big transformation of businesses is happening now, thanks to the Internet. For those of you who are old enough to remember: 1994, 1995, that was the year the Internet went mainstream in Western economies. And businesses all around the world wanted to reach clients through the Internet, and for that, they needed web development to be done. So they built websites to access customers through the Internet. The next big transformation was the smartphone revolution, and that led to app development. So you have web development and app development. Today, app development is about 16% of the work we do. Web development and software and ancillary industry is about 30% of the work we do. And this third, new transformation is AI development. And so this is basically AI agents that will do things like answer the phones, take a credit card, process a sales order; or answer the phones, put a booking in a calendar, for example, for a hotel or a restaurant or a hairdresser or whatever it may be; or doing outbound lead generation and so forth. So these are basically fulfilling the roles that were traditionally done by all humans in AI agents. And I think, in the next two years, you're going to see every single business in the world have their phone lines being picked up by AI, for example -- and do the Tier 1 support. There's many advantages of doing so. The first is that you have 24/7 coverage. The second is you can do it in any language. And the third is that the AI has almost infinite patience and empathy. And we're seeing that as we deploy across Freelancer AI agents to do support and sales-like functions, which I've reported on in several quarters. The immediate thing that stands out is the quality and empathy of the responses. Because when you have a human agent on KPIs in terms of number of tickets today or call handling times and so forth, they don't have the time. It's -- in fact, it's actually impossible to do a completely thorough review in terms of the entire history of a particular customer, while AI can do that. So I think this -- it is a very, very big transformation. And so you go to get your AI agent built the same place you get your website built and your app built, which is Freelancer. So I think you continue to watch the space. If you want demo of how good these AI agents are, you can go to freelancer.com/AI. And there's a whole range of demos there in terms of what people are getting done on our platform. And I think it's pretty mind blowing if you kind of peruse those demos, so I encourage you to do so. We're starting to get people also contact us about AI call centers. So actually replacing whole call center functions. Another emerging use case for Freelancer which I thought was quite interesting is now quite pertinent, thanks to the tariffs. A $1 trillion Chinese e-commerce company has been working this now for about two years. And they probably knew this was coming, but they're using Freelancer to localize and culturally adapt their marketing campaigns, content, product information and so forth to find new markets. And I think this will become incredibly pertinent now. With the trade war with the U.S. and China, there'll be -- not just Chinese companies but also U.S. drop shippers and all sorts of businesses that get products made through China or Asia and so forth. Now they will be searching for new markets. And to do that, you need to basically rebuild your websites to get them multilingual and so forth. You need to culturally adapt your marketing campaigns. In the case of this particular e-commerce company, they're doing things like finding influencers in certain markets, for example, in Latin America, and so forth. And so I think it's interesting to see how the nature of work adapts through our platform over time as things happen in the macroeconomic conditions. I talked before about AI. It's absolutely phenomenal for us. There's really three aspects to AI that I think -- a lot of companies talk about AI. I think we're really in the middle of it because we're in the field of work. The first is, obviously, as I said before, the skills of all the freelancers have lifted dramatically. If you were an average copywriter before, you're now an exceptional copywriter with the use of GPT and Claude and so forth. If you were an average illustrator before, you're now an exceptional illustrator with the likes of GPT-4o, Midjourney, Stable Diffusion and so forth. If you were an average video production before, you've now got Quin and a range of other tools. This is happening in research now with things like GPT-4.5 and deep research. And there's similar tooling from Gemini and with Google; and deep research, obviously -- deep search, sorry, coming out of China. So basically the freelancers are now turbo powered with the use of this tooling. And you need freelancers on the tools because you need people who are skilled in the art of effectively communicating in the field of the industry that you need work to be completed in to get the best outcome. And so we're really seeing now that degree educated freelancer -- and a very, very large fraction of our workforce is degree educated freelancer, from someone like Pakistan under the laptop Internet connection. A freelancer account and the tooling can really give a run for the money of the Western labor around the world. And I think it's a really, really powerful combination. NASA did a white paper some time ago in terms of the cost effectiveness of using freelancers, showing that they got between 80% and 99% cost reduction. It's as I mentioned before. It's a very deflationary business, but now empowered with AI, that takes it really to the next level in terms of what you can get done with the skills and the quality and so forth. So this is really doing for the sales. So that's sort of the first big thing is -- with AI is the skills of the freelancer is lifted dramatically in terms of bang for buck. The second big thing is the lift in AI agent work. And as I said before, Freelancer is a center of universe for web development, app development and now AI development. We've got a third thing I'll talk about in a second, where we're really powering generative AI training at some of the largest foundational models in the world. And that will continue and expand over the course of this year. On the product side, our main focus in the first quarter was really continuing with the customer acquisition front and lifting the product quality across the board with a large number of improvements over the quarter. And we continue to integrate agentic AI onto the platform. And as I mentioned previously, we have AI on the platform doing a wide range of roles in terms of Tier 1 support and Tier 1 sales functions. And I think that will only continue. And we've got some pretty exciting features coming out in the course of this year. In fact, in the next couple of weeks, we've got some announcements in terms of some of the AI-powered function on the platform to really help you get projects done and rapidly. On the collaboration side, we've basically integrated a Zoom back end with audio and video calling functionality, preparing for a full launch in the second quarter. And I think that's going to be really powerful not just for the Freelancer platform but particularly for Loadshift, which obviously, when people are driving trucks, they're not sitting on their phones in a text chat. They'll be doing it through a voice interface. And we've got some pretty crazy stuff we've had demo even in the last week with voice-powered Freelancer and the ability for -- get projects done by just talking into the platform and so forth. So we look forward to be able to give you those demos very, very, very shortly. We continue to be the best-rated platform out of all the major platforms and on sites like Trustpilot and Sitejabber. We're at 4.5 with about 16,000 verified reviews, which is excellent. And it's number one in the world for crowdsource marketplaces, by far; and the same with Sitejabber, which it has an even higher rating with even more reviews. So we're pleased to do that. And that comes from a consistent long-term track record in customer excellence, to achieve that. On the generative AI front, we're doing some pretty interesting things. We're working with a couple of the major vendors in the world for foundational models. There's a case study of one particular vendor. We now have 130,000 freelancers working across 60 language groups. The big thing for this year is that the major platforms want to get not just a language specialization but also potentially in a geographic area; and with now other skills such as a biology degree, a physics degree, chemistry degree and so forth. And so we're getting deeper in terms of the skill sets that generative AI needs in order to get their RLHF and other forms of training done. And we just completed actually -- I'm currently in London but just completed with the team a whirlwind tour of India. We've got a bunch of clients there where we're potentially going to start on some new generative AI work, which we're pretty excited and we'll talk about in ensuing quarterly results. We're proceeding also with an integration with one of the -- one of our partners working on one of the largest foundational models in the world. We got the go ahead verbally on that about a week ago, so you'll hear some news about that. So we'll be really lifting the game here in terms of what we do with generative AI. And we've also been making quite a good showing at some of the conferences out there. In terms of our field services offering. We're very excited about this. I've, we've obviously talked for some time about the capabilities we have there. And for one particular client, we built an offering that spanned five countries and, I think, about 48 cities. We've got a huge amount of demand coming out of India now for field services. I think we had 15 back-to-back meetings with potential partners or who are jumping a bit to get access to our capability here. And I think one of the really important things to remember is we provide primarily a surge and a white space capability. So many of these large G2000-style companies already have a patchwork of outsourced providers across the world providing things like repairs, installation, maintenance and so forth of equipment; and for field services. And what we do is we really augment that. So we're not trying to compete and replace their existing capabilities with their outsourced providers. What we do is we provide an overlay to provide surge. So for example, in India, during the monsoon season, there's a lot of -- a lot more water. And a lot of equipment gets wet and damaged and needs -- has breakages and so forth. We can help their workforces surge during those times and without having to take on extra fixed costs. And also we provide white space capabilities, so in areas where there's poor service coverage and SLAs are being missed because they've got a batched-up work and get to -- enough work to send a technician out to a certain area -- we can avoid that because we have people everywhere there's electricity and Internet on our platform. So we're pretty excited about this offering. And we've -- we signed in the quarter a new printer partner. And in addition to doing that sort of printer installations, we've -- also have a component with Loadshift where we're actually doing -- we will be doing the actual delivery of this equipment because this -- in that particular area of freight, it's called ugly freight. And it's not well serviced by existing freight providers. We continued to do all sorts of amazing things with NASA. And we're looking forward to this program actually expanding in a very short period of time, hopefully. We should have announcements soon about that. We've got a pretty interesting challenge right now that's running globally, building a zero gravity indicator for Artemis II, which is the manned mission to the moon. In particular, we're very excited about this one because there's some categories for kids to participate in terms of getting educated about space and helping the astronauts have a visual indicator for when you're in zero-gravity environments. And we think that we have quite a broad appeal. And right now we've got the astronauts promoting this. We've got some pretty nice videos on the platform about that. And we're moving into judging over the next month or two for that, but I think that's -- I'm pretty excited about this because it's just a fantastic use case of Freelancer, but also it's getting kids interested in space, which I think is quite exciting. We also announced the winners from another, a more serious challenge with NASA, around lunar navigation. So how -- when the manned mission goes to the moon and lands in craters where part of the sky is occluded, how do you actually navigate in those environments? Because obviously you don't have GPS. In addition, we've done some pretty amazing things with the Orion space program and with enhancements to basically their compiler technology for the software that powers the space flights. The biggest challenge we've got on the platform right now in terms of job size is USD 6 million, which is for gene editing in the central nervous system of humans. We've awarded about half the money, and so far -- this is a 5-year program. We're halfway through. And there's been about -- approximately about 100 outcomes in terms of academic advances as a result of this particular program. So it just demonstrates that -- I think, time and again, with some of this work with the U.S. government, just the sophistication and the complexity that you can achieve using Freelancer. It's not just your traditional web development and app development and so forth. We actually can solve some of the most complex problems out there in the fields of science and technology. And in fact, one of the big things we're doing right now is we're opening up this entire program. And it's now going to be called the moon shot innovation challenge program -- and help large organizations that have inertia that prevents them from achieving technological breakthroughs to actually use our 80 million network as -- really as an innovation search engine to develop alternative solutions to solving tough problems. And so that's really -- you'll hear more about this over the course of the year, but we're really opening up this program now for corporates across the board. And we've continued to do other bits and pieces for government and the national institute of health. We're developing a methodology for sharing data sets. Just like you have citations of articles, you'll get site data sets. And we're doing some work on environmental innovation and climate solutions in addition to some work on detecting chemicals, harmful chemicals, in water, so it really just does showcase that we can work on some of the toughest engineering problems, technical problems, scientific problems. And it's been a phenomenal success rate with that particular program. Another thing we're doing which is interesting, which is ramping up a little bit, and we've got a couple of governments now interested in this, is really solving the challenges of mass unemployment and large unemployment benefits lines in government budgets. And so for example, with Bahrain, with Tamkeen, we have a program running right now which is the Bahrain freelancer accelerator, which helps people who are on unemployment benefits go through and skill up in terms of working online and accessing a world of work and help people stand on their own two feet to generate income independently and wean themselves off unemployment benefits. I mean governments have figured out almost universally that, the bottom 20% socioeconomically, it's very hard to move into full employment straightaway and get people off benefits, for a range of reasons. They may be mothers looking after kids; may be in rural areas, remote areas; disabled; mental health issues; et cetera and so forth. And so the governments have figured out the micro and the cloud is the way to maximally motivate people into the world of work. We're running a more advanced program, however, now with Bahrain, where we take a certain subset of people who are on unemployment benefits. We've put them through what we call the international freelancing certificate, which is a -- like a mini CPA- or a CFA-style qualification, intensive training over many months. And then we put them through paid internships, working with some of the top agencies in the platform, to basically get experience in how to bid on client work; do, fulfill client work; project manage client work; et cetera and so forth. And we've had some pretty rave reviews for that. So we will be expanding that program. And we have some other governments as well that are interesting in taking this on, so we're pretty excited about that. Moving on to Escrow. The gross payment volume was $200.6 million in the quarter. The revenue was $2.9 million, up 34.5% on pcp. We had some margin improvements there with Escrow. And you can see, over the long term, we're on trend in terms of our GPV and the volume going through the business. In first quarter of 2025, we continued our beta program with a major shopping cart provider. This is one of the largest shopping cart providers in the world, and we're pretty excited about this. We're going slowly on the beta program because we will make sure that we have a phenomenal experience here and that -- I think the potential with this is that you'll be able to do things like buy and sell houses, jets, jet parts, boats, et cetera through the shopping cart provider. And it's got about 100 different payment methods already built into it, but none of them are for large values, so this is really for the first time that you'll have a shopping cart, major shopping cart, be able to do transactions up to $1 million, $10 million, $100 million or more, so we're pretty excited about that. And August, who's on the call, is leading that program. We've just hired another account manager to assist in the expansion and the activation of the merchants in that platform. And you'll hear more about that over the course of the year. We also have a second -- we actually have a couple of e-commerce platforms backed up -- shopping cart platforms backed up after we get that out and get that highly successful, but there's a second one working in parallel right now that's doing an integration. We also are signing up a range of different other e-commerce platforms. We're doing quite well with machinery at the moment. We're doing well with agricultural products. We've got a carbon credit thing that's in the early stages. We've got a regulatory fuel credit marketplace we've signed up that is paying us to do an integration. And we're getting a bit of success also in M&A and business sales at the moment. So we're powering across a few of the industry verticals. We're -- at the same time, we're building a much slicker checkout experience. And this is the big thing we're doing for this major shopping cart provider is we're making sure this experience is as modern and as frictionless as possible. Now inherently in Escrow, because it is a high-value-transaction payment platform, there is a higher level of friction than what you have with your credit card. Well, in a way, it's the same, but a lot of people have already a priori gone down to the bank and done their KYC and so forth sometime ago and probably have forgotten about it. And we have to basically KYC all the parties; do AML checks; put it -- exposed person checks, negative news checks; et cetera and so forth. So we're going to make sure that -- because it is such a secure platform and really is the gold standard for high-value transactions, that we try and make this experience as smooth as possible. So that's a big focus right now is just getting this checkout as slick as we possibly can. We also have a major equipment provider in Europe we're working with that we're fairly well advanced in early stages of working to close that. It's one of the reasons why I'm over here right now in the U.K. And we've also launched a new partnership with a major auction technology provider to allow secure payment services to auctions and consignment partners in North America and in Europe. Domain name volume, which we dominate very strongly, is lifting slowly. I did expect to see in the second half of last year those numbers to lift a lot higher because I think -- particularly with the AI revolution that's going on and large numbers that are being thrown at the AI space, I think we're going to see some really marquee valuations come through for some very, very high-quality domains. We have seen -- we've had some requests for some very, very large transactions that may or may not happen, but if they do happen, it will be like a world record for domain name sales. And we continue to be the place to go when you've got large-value transactions at the high end. So as -- two quarters ago, we did an IP address range block for a very, very large trillion-dollar software/cloud provider, buying from telco a very large block of IP addresses. And that was USD 50 million. And we've got people coming to quote transactions that are larger than that now, so we'll see where that goes, but we could see some pretty big transactions over the course of this year. We got a 20% lift on pcp in terms of domain name volume. I do expect that number to lift actually substantially. I really do think that we're going to see some very, very, like, big valuations; and also valuation appreciation across the board in domains. And if you want to hear more of my thoughts on this in depth: I just recently did a DomainSherpa interview, where there's a link in the quarterly results. You can listen to my thinking and kind of where the space is evolving from here. And we also have reinvested in the platform with service improvements. We're now running 24 hours a day, five days a week for the first time ever on the platform. And we're going to continue to expand the service through the course the year, 24/7. So we're reinvesting for growth on the Escrow side. Loadshift delivered strong results in the first quarter as well. In fact, in March, we had a all-time record for revenue, in the March quarter -- sorry. It's in the March month, up 27.3% year-on-year. And it's a very strong lift from where we started when we acquired the platform a couple of years ago. The award rate increased to 28.9%, which is up about 14% on pcp. Total awarded jobs were up 9% on pcp to about 3,000; delivered jobs about 2,500, up 7.8%. And carrier engagement continued to grow, with job -- quotes per job going from 6.5 to 6.8. We're going to get a big -- I believe we're going to have a big leg-up in these numbers, starting in this quarter coming, with audio and video calling being rolled out across the platform in a very robust and solid way. The -- for those of you that are relatively new to the story: The Freelancer stack is being used -- the Freelancer enterprise stack is being used to power Loadshift, so it's really the same software. It's just customized for freight, but there is a very big difference in terms of the use cases on the Loadshift platform versus Freelancer in that people on the road -- and they're out there driving. You -- they're not typing on their phone. They're speaking into the handset, calling shippers and organizing the pickups and the drop-offs and so forth, so we had to get a very, very robust audio and video calling platform integrated. We've done that with the Zoom back end. It's not fully deployed yet. It will be fully deployed this quarter. It's literally -- it's live, but it's in somewhat semi-shadow. At the moment, we still hand out phone numbers on the Loadshift platform because -- to minimize disruption as we moved from a bullet and bought model to a marketplace model, which we've successfully done now, but the big thing now is just getting this calling fully live. And we do so -- I think this award rate should lift -- from roughly 25% to 30%, that should lift up to 40-something-plus percent minimum once we -- as soon as we get it live. In fact, I think the numbers ultimately will get up to probably around 80% for the whole platform once we've got that fully robust and out there and operationally flying. You can see here we lifted the award rate from 0%. So when it was a bought and bullet of a business, no money went through the site at all. It was just directly between the shippers and the carriers. We obviously changed the model in the industry, which is a very tough thing to do, but we've now got it up to about 30%. And we'll continue to have that grow over the course of the year. I'm pretty excited where that's going to go. And then there's a bunch of tracking features we're building in. There are some emissions reporting features we're going to be building in, some better carrier onboarding features and so on, so I do think we're going to -- we've already left the numbers quite substantially over -- from where we had it when we bought the business. And I think this is going to start doing very, very well. And we made a reasonable profit in March as well, so we've passed through the threshold of breakeven for that particular business. In terms of overall group profitability and cash flows. We now operate with a structurally lower-cost base. We've -- and in fact, there's actually some -- still some savings to be made in various areas. And combined with the revenue growth we achieved in the first quarter, we now support the delivery of operating profit for the quarter. As I mentioned, it's nine month consecutively of operating profit. And we're about two-thirds of the way along towards my target of consistently hitting $500,000 a month of operating profit, every single month. And we're about $1 million a quarter of operating profit at this point in time. I think that will offer some good foundations for the business. We generated positive operating -- positive cash flow of $2.2 million in the first quarter compared to breakeven in pcp. For the first quarter, the operating cash flow was $3.5 million, up from $1 million on pcp. And then there's financing cash outflows of $1.3 million due to the lease -- the changes in accounting standards for leases. We're also in the process of establishing a sponsored Level 1 American depositary receipt, with Deutsche Bank as the depository bank. So that will provide greater ability for our customers, of which they're now 83 million across all the group, to become shareholders of Freelancer. And I think that will be fairly well received. And as of the 31st of March, the company held cash reserves of $25.4 million, up 9.6% on the end-of-year number in December. Forward looking. In FY '25, the key focus of the businesses will be to -- four things. The first is to enhance marketplace engagement through continued improvements in user experience and matching capabilities to attract, activate and retain high-quality freelancers and clients. That's both on the customer acquisition front and continuing with the good work we've done there, as well as continuing to lift the retention. And in the full year of last year, we lifted retention by about 5 points; and we continued to do that over the first quarter of this year. So in every year, retention is worth so much more than acquisition, but we're lifting on both sides, both the acquisition and the retention. The second is to accelerate AI-driven innovation and expand integration of AI solutions into our products and services. We've got some pretty exciting things we're going to show off very soon, in the second quarter, around that, enabling efficiency, automation and new opportunities in addition for enterprise growth. The third thing is to expand our financial service offerings both on the Freelancer and the Escrow platforms; and broaden and streamline the payment methods, financial infrastructure, transaction ease, security and scalability. We're building local acquiring. And in some parts of the world, we're looking at realtime payment methods that are out there -- and obviously making our Escrow solution as slick as positive and really make it really set the standard for world's best in terms of ease of use. And the final thing is really driving operational excellence. So strengthen the platform reliability, quality and performance through rigorous internal processes; and enhance customer satisfaction. We've got a great track record of customer satisfaction, but we want to obviously keep that going and keep driving that. And with that comes market leadership. So that is it for the overall in the -- for the commentary. And what I'll do now is I'll open up the call to questions from anyone that may be joining. Ad as I mentioned before, you may address your questions to either myself or any of the management team. And I've got on the call Neil Katz, the Chief Financial Officer; Adam Byrnes, the VP of Products; Andrew Bateman, who is the Head of Enterprise; and August Piao from Escrow. I believe we've got some of the Loadshift guys, I'm not sure, on the call. I can't see them because there's too many faces, but again, you can address your questions to myself or any of the management team. Or alternatively, if you'd like to do that privately, we can arrange for a one-on-one after the call. Just shoot us a note at either investor@freelancer.com to reach the IR team; or to myself, matt@freelancer.com, M-A-T-T, either way. And we'll arrange a one-on-one with you.
A - Matt Barrie: So now if -- Oscar, if we could open up the call to questions. I know it sometimes takes a little bit of -- a bit of a kick start before people ask questions, but hopefully, we'll do one from the callers So let's open up now. Kate Thompson, looks like, has got a question. Maybe ask her if she can...
Katherine Thompson: Can you hear me?
Matt Barrie: Yes, I can hear you, yes.
Katherine Thompson: Great, okay. Yes, I've got a few questions. I just wanted to see if you would be able to give me any kind of detail on the core Freelancer marketplace. So if we strip out the effect of enterprise and Loadshift, could you give me a sense of what kind of GMV growth and revenue growth you might have seen there?
Unidentified Company Representative: Matt, you're on mute...
Unidentified Company Representative: Matt, you're muted. You sound is certainly not coming through anywhere.
Unidentified Company Representative: Matt, you're still on mute. We can't hear you.
Matt Barrie: Okay, well, it tells me I'm unmuted on my end...
Unidentified Company Representative: We can hear you now.
Matt Barrie: Okay, fantastic, okay. So Neil, maybe you can jump in if -- on some of the segment items. You can see here that -- overall for the GMV for Freelancer, that the GMV was up in the first quarter 6%, overall for the Freelancer segment. That included enterprise and included Loadshift. We will be breaking out the Loadshift numbers at some point, but I don't think we fully break them out now. But then when you come down here in the overall GMV for -- this is -- it's approximately about half of that is the core marketplace. And the other half is from the other segments. You can see there's about 3.2% in the -- in 28 days, so it's -- maybe Neil can correct me if I'm misspeaking, but it's about half the performance in the core marketplace. But we do expect that to continue to flow through because, you can see here, there's obviously been a big turnaround in terms of client acquisition. And that will flow through as those cohorts become repeat cohorts and so on.
Katherine Thompson: Okay. And you talked about a new global fleet field services customer. And you also mentioned there being a Loadshift element to that.
Matt Barrie: Yes.
Katherine Thompson: I take it the Loadshift is purely in Australia for now. Is it? Or is that...
Matt Barrie: Correct, yes, yes, yes. So that particular customer is doing printer installations and maintenance in Australia.
Katherine Thompson: Okay, okay. The Escrow take rate was very good. It was very healthy in Q1. Is that a sustainable level?
Matt Barrie: It is. So when we first bought the business in 2015, the take rate was 1.45%. One of the things that we did that was a bit of a mistake -- well, in a way, it was a mistake because it was belated in terms of us taking action; was that when we bought the business, the pricing table for escrow in terms of the -- let me just find what the escrow numbers are. The pricing table capped out at $25,000. So you can have a transaction between zero and $5,000, $5,000 and $25,000, $25,000-plus. And at that point, the commission was 0.89%. So we had a cap-out at $25,000. What's happened since 2015 is people have got more and more comfortable in transacting in larger values. And so we ended up doing transactions of $50,000, $0.5 million, $5 million, $50 million. And so we kind of went off the end of the pricing table. And then we gave a lot of flexibility to the account managers to actually negotiate bespoke rates at some of those high ends. Now the rates don't really -- it depends what industry vertical you're in because there's different risk profiles based on different industry verticals. For example, with automotive, the cars are cars. They're registerable items. They don't get counterfeited. There's very low fraud compared to other segments and so forth, but effectively the pricing is not one size fits all. And we had a lot of bespoke pricing that was going on at the high end as these transactions got larger and larger and larger. In some circumstances, we were discounting down to silly levels like 0.25. We've -- actually went through and we actually created a new pricing table, where we actually extended the numbers up to $10 million, so we now -- and I think the enhancement for that is going to be -- we have some internal pricing that we use for different industry segments, but I think we might, moving forward, publish different pricing tables based on different industry segments because the natures of the transactions are very different. If you're, for example, selling software, which is an intangible, that has a different risk profile than an airplane, which is a registrable asset that doesn't get counterfeited that -- you know where it is, et cetera and so forth, but effectively what we do is we -- through a combination of both that as well as starting to collect fees that we had -- basically not levied. So there's things like bank fees that weren't being levied properly, where we were charged them and we weren't -- uncharged them to the customer. There were things that were left behind in our custodial account that were seen there, in some circumstances for months or years on end. And we were not charging for that, but we should have been charging for -- and then also, in our lease-to-purchase transactions, we were not fully taking to account that there was a custodial element of lease to purchase where we hold onto a particular asset. In addition to the Escrow transaction, there was a custodial element that wasn't being collected, so we basically did a thorough review and we fixed a lot of that. And we brought the take rate back up again to basically on par with what it was when we acquired the business. And so I think it is certainly sustainable. I also do think that there are some value-added services that we can potentially deploy to lift the take rate even higher. One thing we've been looking at is financing. Certain asset classes that we sell through Escrow would benefit from the access to finance. Now we wouldn't do that for all asset classes, but for some asset classes, we've started looking at that. Nothing is happening imminently, but we have been working on the background. But for example, you can potentially get 200 basis points offering financing in some of these segments. And if you do it for a certain percentage of those transactions you could offer financing, you could probably lift the overall take rate by a little bit. So there's things like that, the FX. Obviously our freight division generates 1,300 basis points for movement of physical items, so as we expand the Loadshift offering outside of Australia and start doing it particularly in the U.S. -- because anything physical that's sold through Escrow needs to be moved. And we do, do a lot of machinery sales. We do a lot of car sales and so forth. If we could offer freight for some percentage of the overall transactions, that would be a very healthy contributor to the take rate. Obviously, if we could -- we do quite a lot of money through the Escrow business. Sometimes it could be around like AUD 1 billion a year equivalent. And obviously, if we could lift that by 1%, that's $10 million of revenue. So we are looking at ways we can lift the take rate through value-added services over and above that.
Katherine Thompson: And if I can just ask one more question before letting other people in -- sorry. Actually, no. Actually you have answered all my questions, so I'll leave it to other people now. Sorry.
Matt Barrie: Yes, okay. Thank you for your questions.
Katherine Thompson: Yes.
Matt Barrie: Okay, I'll stay -- on to the next question.
Unidentified Company Representative: Yes. We have Ray, who says, congratulations to all of the team and the wide body of work. Can you please explain more about the reasoning behind the Deutsche Bank ADR facility, please?
Matt Barrie: Yes. So there's a couple of things. First of all, we get requests every week. We get several requests almost every second day from customers asking to buy stock and how they can do it. And what we have discovered is that Australian shares are actually not that easily accessible for many people around the world. Sometime ago, we went to an OTC DTC ticker, FLNCF, in addition FLN. That has been fraught with issues. The first thing, that we did not realize that it's not a U.S. security. It's actually an Australian share with an OTC ticker. So that actually did not serve the purpose that we originally thought it would -- intended to do, which is actually increase our visibility in the platforms to allow people to buy our stock. The second thing is that we've been told that Bank of America and Merrill have -- or I think Goldman's have stopped doing all clearing of all Australian DTC shares because the U.S. has gone to T+1. And the Australian brokers just generally, not just for our stock but just generally, have been getting pinged by FINRA for tardy processing of shunt requests. And so effectively our intention with getting the FLNCF ticker was basically to provide access to our stock, to make it easy to purchase, but the clearing no longer works, with the issues with Bank of America, et cetera. And also it never gave us the visibility because always it's a strained share. So we've been working for some time in actually getting a proper security up so it will be visible and accessible and purchasable. So for example. We have called every major Indian broker that's out there. And none of them will give you access to ASX stocks. And none of them will give you access to OTC even though some of them have got on their website that they may do that. So we think that this will be quite good for providing access to our customers to basically purchase our shares. We do -- we get a lot of inbound requests of -- a huge amount of inbound requests to do so. So that should be up in the second quarter. It's basically imminent.
Unidentified Company Representative: Great. So next question is coming from Greg Ward from Trafalgar Capital. He says, great results, everyone. Congratulations on the significant improvements and for your hard work to achieve these. A question on the beta testing of the shopping checkout platform: When do you think that is going -- is likely to go live? And which verticals is the platform focused on going after first?
Matt Barrie: August, maybe you can contribute to this because you'll run -- running the program. It is live currently for beta customers. We have an account manager that's just got hired to basically expand and manage the expansion of that beta program. I want to be really careful here because this particular shopping cart provider is extremely high volume. And we want to make sure that we don't muck it up, so we have to make sure this is a -- as smooth as possible in terms of a payment process. As I alluded to previously, the one thing that we do get negatively said about escrow is the fact that it's high friction because they're such a high-value payment type. And we cross the large payment thresholds in all jurisdictions usually with the transactions we do, which is USD 3,000 in the United States. It's actually zero in Australia. And I think it's $1,000 in Canada. I could be wrong on that. We are required, for both the buyer and the seller and also potentially the brokers -- because in these large-value transactions you have potentially brokers, sometimes multiple brokers, splitting commissions and so forth. We've got to KYC all the users, which requires proof of address, proof of ID, dot, dot, dot; ability -- exposed persons checks, negative news checks; verification that the underlying asset is valued at the -- not too high, not too low compared to the stated transaction amount; et cetera and so forth. So that process is more complicated than processing a credit card transaction and so we've got to get that right. And we're going to get that slick as possible, I mean the operational back end of the company, to be able to support that. So we are in beta. We have beta customers live. We're expanding that program. August, maybe you can jump in and maybe make a comment about how fast do you think that is going to ramp up and be commercially deployed at scale, but the most important thing is we don't want to stuff this up, so we're going to make sure that it's as good as possible. And I've been one of the ones here that's been basically saying, slow down. Let's get this absolutely right. So August, maybe -- if you can be unmuted and maybe make some comments on this, it would be helpful. Still muted. And in fact, I can't see your face either -- there you are.
August Piao: So I was just checking if the room was muted because we've got a few people joining from the room. So thank you for the question. As Matt said, we are taking it very carefully step by step and managing the various partners who are in the pilot program. We do want to move towards expanding the program and understanding how we can support the higher volumes. As Matt mentioned, this will be sort of carefully done quarter by quarter. I think -- optimistically, I think, sometime this year, we could really take it to the next level. Exactly whether that's a full go live or expansion within a certain sector, hard to say at this stage. Optimistically, I would like to think we can really expand into deep pockets, but we are sort of evaluating what segments are resonating well. So for example, we are noticing that a particular market that may benefit from our services is where the products are brokered. And for the large-value transactions, we often do see there are brokers involved. So there are sort of brokers selling on marketplaces like Shopify, and perhaps they're being underserved. And as a sort of a launch pad, that potentially allows us to sort of activate in certain segments and learn as we go because -- as this is sort of a new play here for us and as well as those merchants. And so we'll sort of learn as we go as well and adjust accordingly as we see where the value sort of aligns between what we do and what the market is looking for.
Matt Barrie: It's a combination of scaling the product -- and the product as slick as possible, the operational team and the compliance, right? So this a few things that have to move hand in hand and we're getting ourselves ready for that. We're doing things like expanding the support hours. So as I mentioned before, we've gone to 24/5 and we're going to go 24/7. So we have to get all our ducks in a row and get the whole company behind this because obviously these platforms are going to now extremely high volume and we want to make sure that we don't just turn on and brake, all right? So we've got to make sure that we just get everything moving in unison, so we're working very, very hard to do that.
Unidentified Company Representative: We have another question, from Ray, saying Freelancer has the 5,000 -- $500,000 per month profit target. Is there a level of monthly profit that would trigger a share dividend?
Matt Barrie: Well, I think we want to, a, show that we can consistently hit that every single month. It's the starting point. I -- as I mentioned before, we're about two-thirds of the way there. I think, in the last nine months, which have been nine months of consecutive operating profit, we've hit the $500,000 number, at or about, I think, about three times, but we're on a -- we're in a rate now of about $1.25 million, so we just want to basically make sure that we successfully achieve the actual full target, not the two-thirds target, the full target, first. And I think, at that point -- we'd, I mean, go through the course of this year. We said we would get to -- and then who knows? It -- I mean it could very well. If we actually get a bit -- get a long run at this and really show that, and I think I'm very confident we will, who knows? We can make an assessment at that point in time to see whether something like that is warranted. And I certainly do think that, if we did do something like that, if we did even just a small distribution or what have you -- which wouldn't happen this year, to be clear, but if we did, I think that would probably wake the mark up a little bit as well. So we will assess, but we want to make sure that we can show the track record being hit. And we want to be able to do that for at least a year, consistently get $500,000 a month in operating profit for at least a year, before we consider that.
Unidentified Company Representative: Great. That is all the questions we have for the moment. I might just give everyone a little bit more time to see if any others pop up.
Matt Barrie: Okay. Sometimes people are a little bit shy to ask questions, so -- I do welcome any question. And again, if you wanted to speak to us privately, we're happy to do that with a one-on-one you can arrange with either myself or the management team, if you e-mail investor@freelancer.com. We'll be happy to line that up for you. Any more questions, Oscar?
Unidentified Company Representative: None for the -- yes actually. We have one from Ray at the last minute. Mention was made of being well positioned for growth. Are acquisitions a part of that?
Matt Barrie: No. In terms of actual corporate acquisitions, at this point, no, there's no plan to do that. We have made quite a number of acquisitions in the past. Right now the big focus is on the core businesses and the core operating metrics of each of those businesses without any acquisitions at this point, but in the future -- who knows? In the future, I certainly think they could pop up, but there's nothing actively looked at right now.
Unidentified Company Representative: Okay, I think that's all the questions we have for now unless any one pops up...
Matt Barrie: And just maybe to add some more color to that. So the big thing was we obviously made the Loadshift acquisition, which was the last big one we did, yes. I did expect that to be generating a large EBIT line by now. We did a reasonable EBIT in March. We've kind of just got through the breakeven profitability numbers now for Loadshift. And if we can continue the growth that we're seeing in that, it will start generating some good EBIT for us. And my big thing is really just making sure that's just well underway. So the big thing there is just getting the calling, audio and video calling, going. That should lift the award rate. If the award rate does lift like I think it's going to lift, that will be, I mean, quite a strong -- I think, on a relative basis, quite a strong earnings line throughout to add support to the group and add support to the targets around profitability and so forth. And down the track, who knows? But right now we're not looking at any other acquisitions.
Unidentified Company Representative: Okay, we have another question from Greg Ward. So what sort of funding is required to take Loadshift offshore?
Matt Barrie: Not much really in terms of funding, to be honest. We do recognize that in many markets there are operators that offer marketplaces heavy haulage. Because we've built this on the Freelancer platform, we already have the multilingual and multi-language capabilities. And in fact, all the features and functionalities of Freelancer are baked into the core, so all the agentic framework and so on, so it's -- at least on a fundamental level, it's relatively easy for us to provide the capability to go to other markets. Now that means we also have to build the -- in order to actually build a real business, we have to have the supply and the demand come in from each of those markets. We do know how to get the supply. So I think we've got some tricks, some -- and trade secrets in terms of how we get the supply on the platform, so I'm pretty confident we can get the truck drivers, effectively, and the transport operators on to the platform. I think we've got -- we know how to do that quite well. And then the question is how do you get the demand on to the platform. I think the first -- I think probably the way we would do it would be a -- really a 2-step process. What you don't want to do is you don't want to do country by country by country one after the other. I did a phone call with a competitor of Freelancer about -- it was a year ago, who -- I did look at acquiring the business sometime ago, years ago. They started in Israel. And we kind of started in Australia through -- and as well as having obviously the acquisition of the GitHub freelancer platform back in the day in 2009. The competitor made the decision to build a marketplace in Israel and then go country by country by country, but of course, 10, 15 years later, they were still stuck in Israel because their marketplace was in shekels. There's a lot of Hebrew, et cetera. And because -- when people went to that marketplace, they thought to themselves, Gee. Why would I go here if I'm not an Israeli customer? Because this marketplace is clearly tailored it and for that particular market. And so that particular owner lamented to me that they should have just gone global on day 1. And while challenging to do so because you might have thin volumes in certain markets and you've got liquidity -- the liquidity matching you have to do and build the demand and supply in parallel, he regrets just focusing so long on one country. Because these things -- it gets harder and harder to become a global business once you do that. So I think we're doing -- and really there's two steps. We would basically probably turn it on in Canada and New Zealand because they are very similar markets to the Australian market in terms of the nature of the freight that -- we understand it and so forth. You've got the long distances in Canada as well and the big mining industry in New Zealand. Because obviously there are some very similar -- similarities and some connections that we can leverage in order to kind of build some demand and supply in that particular market. And then from there, we would just go straight to full world. And we have to figure out how to build the demand in. I think, as I said before, we know how to do the supply, but we have to obviously work on that on the demand side and -- but it -- we would not need to -- the thinking right now is not to raise money to do that. The thinking now is just to basically get Australia flying, which -- and I think the numbers at this time look pretty good -- and then just turn on a couple of new markets and then just turn it on globally and really just work all the things we do at Freelancer in the early days to build the demand and supply market by market. So yes, we -- who knows, down the track, the path it will take? But I mean -- and there certainly are options that get pitched to us from time to time in terms of -- and in terms of the ways we could grow that particular business, but that's the current thinking. Any other questions?
Unidentified Company Representative: No other questions. Ray says, thanks for the answers. Greg Ward says, thanks and congrats again. So I think we might end the questions there.
Matt Barrie: Okay. And thank you. Thank you, everyone, for your questions. And as I said before, if you'd like to do one-on-one, please e-mail us at investor@freelancer.com. And we will get back to you and arrange a proper one. But that concludes today's first quarter 2025 results call. And I look forward to talking to you, if not in a one-on-one, at the next results call in a couple of months. Thank you. Thanks guys.